Operator: Ladies and gentlemen, thank you for standing by. This is the event operator. Welcome to Barrick's results presentation for the first quarter of 2025. [Operator Instructions] As a reminder, this event is being recorded, and a replay will be available on Barrick's website later today, May 7, 2025. I would now like to turn you over to Mark Bristow, President and CEO of Barrick. Please go ahead, sir.
Se-Wook Yoon: Thank you very much, and good morning, ladies and gentlemen, and particularly the folks that have made an effort to get here this morning. Thank you for joining us today. There's a lot happening, as you are well aware in the world right now, volatility, instability and shifting global priorities. Our philosophy at Barrick has never been to manage our business for the short term. While we are always ready to take advantage of high gold prices, we remain focused on building a business that can deliver sustainable profitability over the long term through the cycles, through challenges and through change. Just over 6 years ago, we set out to reposition and rebuild Barrick as the world's most valued gold and copper mining company. One that creates real long-term value, not just for investors, but for every stakeholder we work with. This past quarter was another busy one as we continued on that journey. You'll see today how we've progressed across every part of the business from operations and growth to sustainability and exploration. As part of this journey, we've also taken the step to change our name to Barrick Mining Corporation and our ticker on the New York Stock Exchange to the single letter B. It's a symbolic but important shift that reflects our strategic focus on a portfolio of long-life gold assets supported by a growing copper business. Before we begin, as usual, I'd like to draw your attention to the customary cautionary statement regarding forward-looking information. You can find the full details on our website, which you can review at your leisure if you so wish. Moving now to the group highlights. I'm pleased to show you another positive set of results with all the arrows once again pointing in the right direction. Production was up at the top of the guidance, and we continue to forecast improvements throughout the year. We have maintained the dividend at $0.10 per share, reduced debt and continued with our share buyback program. We've also announced the $1 billion sale of Donlin, the first step in rationalizing our portfolio to focus squarely on our Tier 1 assets. And across the business, our growth projects continue to gain momentum with Pueblo Viejo ramping up Fourmile moving to prefeasibility, Lumwana and Reko Diq moving to construction and a new discovery already within the Reko Diq mining lease. Turning to our operational results. During the quarter, we completed significant projects at Pueblo Viejo, Nevada Gold Mines and Lumwana, positioning us well for the rest of the year and beyond. Copper had a great quarter, and we remain on track to meet our full year production targets for both gold and copper. Looking at the financial results. By all measures, this was a solid quarter reflecting the strength and resilience of the business we have built. On a year-on-year basis, despite the temporary shutdown of Loulo-Gounkoto and the previously mentioned maintenance work, we delivered significant growth in operating cash flow, free cash flow and earnings, all supported by a higher gold price, of course. I'll point you to our realized gold price in quarter 1, which already looks conservative, given where the spot price is today. Capital is tracking in line with our plans with growth capital expected to increase over the year as our two major construction projects ramp up their activity. Sustainability, as I'm sure you're all aware by now, remains the cornerstone of how we operate. It's not separate from our business, it is our business. Mining must leave at least a lasting positive impact. And that's what we strive for across every one of our sites. This quarter, we made strong progress on our journey to zero with a big focus on managing by walking about. We completed over 31,000 critical control verifications across the group, reinforcing leadership visibility and real-time risk management. We recorded improvements in the lost time injury frequency rate and total recordable injury frequency rate. No Class 1 or 2 environmental incidents and very importantly, our Class 3 events were down materially. Our water use efficiency remains above 80%, keeping us at the forefront of the industry. At Reko Diq, we secured environmental permits and both the Asian Development Bank and the International Finance Corporation have publicly disclosed the intended participation in Reko Diq financing. At PV, the first families have moved into new homes under our resettlement program, which is guided by the IFC Performance Standard 5. We've also rolled out our social metric tracker aligned to the UN sustainable development goals to track real impact at the site level. So moving to North America and our operations there. This remains Barrick's value foundation and continues to perform steadily. We've taken clear steps this quarter to sharpen our portfolio. As I indicated already, Donlin sale is an important move aligned with our strategy to focus on Tier 1 assets. In line with that, we have also launched a process to test the market for Hemlo. Let me be clear to everyone here today, particularly, this has no bearing on our commitment to Canada. On the contrary, we've launched a significant drill program in the southern Abitibi, which I will discuss later. We are also exploring in the U.S., in Nevada, both within the joint venture and on Barrick ground, as well as in Arizona, Idaho and Montana. These programs target both gold and copper and form a core part of our organic growth strategy. As again, I will touch on a little later. And in line with our investment in people, we've now rolled out the Barrick Academy at Nevada Gold Mines, giving frontline leaders the tools to drive performance, improve safety and build operational excellence. Turning to Nevada Gold Mines specifically, we had a solid quarter, although production was lower on the back of planned roaster maintenance at Carlin. Importantly, we are starting to see real efficiency gains from the new Komatsu open pit fleet and organizational optimization, which is already driving mining unit costs back down to levels we haven't seen since 2022. At Cortez, production was lower quarter-on-quarter due to fewer high-grade underground tons and lower-grade open pit ore stacked on the leach pads. At Turquoise Ridge, throughput increased quarter-on-quarter at the Sage autoclave, though lower grades offset the volume gains. Still, recovery performance was strong, helping support overall results. During April, we also completed the planned gold quarry roaster shutdown. So with the major maintenance behind us in Nevada Goldmines, we're well set for an improved quarter 2 and a better second half. Moving to Fourmile. This is one of the most exciting projects, as I've mentioned before in our portfolio. We currently have 16 rigs turning with drill holes averaging over a kilometer in depth. As we've already disclosed, grades at Fourmile are more than double those at Goldrush. An early geotechnical data points to more competent rock strength, which can potentially support larger-scale stoping than that of our other Nevada operations. Combined with its proximity to existing infrastructure, this makes Fourmile a clear standout. We've now advanced the project into feasibility study with a focus on defining the full resource footprint. And evaluating the geometallurgy of the ore body and access options, all of which are critical for future development. We've already submitted the plan of operations for the potential portal disturbance and commenced with baseline studies for permitting. So this work is well underway. When you consider the potential size and quality of the ore bodies located in a jurisdiction with multiple Tier 1 assets, it's clear that Fourmile has the potential to deliver unparalleled value for Barrick and Nevada. It also explains why we chose to divest Donlin, an asset that was not in a position to compete with Fourmile for capital in our portfolio. Canada, as I said earlier, remains a core destination for us. And we're fully committed to growing our presence here. As you can imagine, it's a highly competitive environment, especially with the recent uplift in gold prices. But we're focused on building a high-quality portfolio of targets that can support long-term value. We've just recently kicked off a drilling project at Norris, making a significant step in rebuilding our exploration pipeline in the region and continue to progress and evaluate other project opportunities. We're also busy with the permitting for the next drill phase at the Sturgeon Lake project. Shifting to Latin America and Asia Pacific, we've seen stellar performance across the board this quarter. Our signature growth project, Pueblo Viejo made solid progress. Reko Diq, as I mentioned earlier, has officially moved into construction phase and is already showing an exciting early indicator of upside that comes with Tier 1 assets. Veladero delivered a standout performance yet again and development of Phase 8a of the leach pad is on track and the mine is set up for another strong year. At Porgera, the ramp-up continues and the operation commenced dividend payments this quarter. Moving specifically to Pueblo Viejo, this is a long-life operation with a planned mine life of over 20 years. And once the ramp-up is complete, we're targeting production of more than 800,000 ounces a year. The plant was down for 35 days during the past quarter, as we completed a series of upgrades. These included improvements to the flash recycle system, deslime pump upgrades and a complete overhaul of the thickener center well. As expected, gold production was lower quarter-on-quarter, but we saw improvement throughput -- improved throughput in April. And the team continues to make good progress under our go-for-gold plan. We are on track to meet guidance this year, and our target is to produce more than 800,000 ounces in 2026. This slide shows the key components of our expansion and ramp-up program at Pueblo Viejo. And as you can see, we're on track, and all major projects for the quarter were completed as planned. We remain confident that this expansion will unlock the full long-term potential of this asset. As part of the Pueblo Viejo expansion, we're developing the El Naranjo tailing storage facility, which requires the relocation of nearby communities. As already mentioned, we are following IFC Performance Standard 5 to guide this process, and we're committed to ensuring that people are better off as a result of the relocation. The first 18 families have already moved into their new homes. And we're relocating more families every week. The new community, which we call New Horizons in Spanish, is a fully self-contained development that includes housing, schools, recreational facilities, potable water, electricity, roads and space for vegetable gardens and farming. To date, 220 houses have been complete with a total of over 550 to be finished by the end of the year as the development continues on schedule. And at Reko Diq, this project is really taking shape now. You can see on the top right of the slide, a model of what the project will look like, and [ it's all systems go. ] We've begun mobilizing the first heavy equipment, and we've appointed Fluor as our lead engineering, procurement and construction management partner, working alongside the internal owners team and other partners. This is a world-class copper gold project that will deliver enormous value, not just for Barrick but equally for our partners in Pakistan and particularly in Balochistan. It's one of the largest undeveloped porphyry copper gold systems in the world, and it's not yet reflected in our share price. While the total Phase 1 and 2 investment is expected to be around $10 billion, our share of the total equity contribution is estimated between $1.4 billion and $1.7 billion for Phase 1, excluding capitalized financing costs. At this stage, everything indicates that we'll be able to fund Phase 2 through the project itself. It's important to understand that this is very much in line with how we've approached our early-stage investments in countries like originally Mali, way back in the 1990s and the DRC more recently, disciplined, [ not betting the farm, phased ] and with strong partnerships forged ahead of construction. On the last point, we have invested roughly $230 million to date with our partners in Pakistan, participating equally alongside us as disclosed in our financials for everyone tracking this progress. While the Reko Diq feasibility study has defined a 37-year reserve life, and it's important to understand this is a reserve life rather than a life-of-mine estimate. And the real story is the potential to go well beyond that out to the end of the century. And this slide shows that even before we've started production, we are already adding life and value. One of the first new discoveries within the mining lease is just 4 kilometers north of the Western Porphyries, which is the main ore body that we've got in our life-of-mine reserve plan. It's called Bukit Pasir, and it's a clear indication of the quality and prospectivity of this region. The first few holes are delivering thick intervals of mineralization from surface and the numbers speak for themselves. In Africa and Middle East region, that has been a major value contributor to Barrick over the past 2 decades, we're seeing some challenges in the broader environment. Africa remains, however, a highly prospective and a good destination to add value to our portfolio. So one of the few regions in the world where we consistently replace what we mine, and we expect the trend to continue this year. In Mali, operations at Loulo-Gounkoto remains suspended. But as disclosed in our previous press releases, we continue our engagement with the transitional government and are working hard to overcome these challenges and achieve a long-term solution that puts an end to the current impasse. This has been a cornerstone asset for the country, and we are committed to finding a constructive way forward. On the copper side, Lumwana has now officially transitioned into the construction phase of its expansion project, and Jabal Sayid delivered a strong quarter, maintaining its momentum. At Kibali, production was lower this quarter, mainly due to lower ore grades from underground as scheduled in the mine plan. We expect throughput to improve over the course of the year with a stronger second half, in line with our guidance. We also have advanced work on the solar power installation, which, again, will reduce energy costs and further support our sustainability goals. Importantly, Kibali has a track record of replacing the reserves at mines, and this year is no different. Also worth noting Kibali is trialing a fleet of EV trucks for rehandling material on the ROM pad. This slide zooms in on the ARK-KCD corridor, and it's worth emphasizing just how important this work is to the future of Kibali. The team has made great progress, not only extending the main KCD ore body down plunge, but also on the adjacent ARK target, which is a significant brownfields growth opportunity. We're seeing high-grade intercepts with encouraging continuity, and this work is starting to build a coherent geological model across the corridor. The key question we are now testing is whether ARK and KCD connect. If that's the case, it could represent a material extension of the mineralized system and unlock meaningful new ounces from within the existing footprint. In Tanzania, both North Mara and Bulyanhulu had solid quarters, delivering in line with plan. There were some commissioning activity and lower grades at North Mara as scheduled in the mining sequence, but recoveries and efficiencies remain strong, and both sites are on track to meet full year guidance. Since 2020, we have built trust, stabilized the operations and restored Barrick's reputation as a long-term partner in the country. It's a powerful example of how responsible mining done right can rebuild the business and create lasting value for all stakeholders. Turning to Lumwana and Zambia. Q1 production reflected a planned mill reline and lower grades as noted in our guidance. We expect performance to improve in Q2 and strengthened further in the second half as these temporary factors roll off. The Super Pit project will double production and is expected to come in line -- to come online in 2028. One of the key focus areas is power infrastructure, as you can imagine. And we're actively working to ensure we can manage this challenge as the expansion ramps up. The scale and value of Lumwana and the expansion in particular are still not like Reko Diq reflected in our share price. And we believe this project will be a major value driver for the group in the years ahead. Africa and the Middle East continues to be one of our most prospective regions and this slide highlights the breadth of our exploration footprint across the continent. We've consistently delivered value here through exploration, development and partnerships. And we're well positioned to do so again. We're actively exploring across the Central African copper belt, including new permit areas in Zambia and the DRC as well as advancing greenfield work in Tanzania, Senegal and through our joint venture with Ma'aden in Saudi Arabia. I have always said that the foundation of a real mining company lies in its reserve base. And this slide brings that into sharp focus. On the left, you can see the growth in our gold reserves per share since the merger. And on the right, the gold equivalent reserve base, again, per share, which now includes a material increase in copper and reflects the strength of our broader resource portfolio. We're proud that Barrick continues to lead the industry in replacing and growing reserves through the drill bit and not through overpriced M&A. Since the merger, we've added 111 million gold equivalent ounces of reserves at a cost of just $10 per gold equivalent ounce compared to M&A deals in the sector averaging over $440 per ounce, and in some cases, more than double that. It's a disciplined strategy that underpins our growth plans and reinforces the long-term value of our business. So ladies and gentlemen, as we wrap up, it's worth highlighting something that really sets Barrick apart in the mining industry. Its ability to present a long-term rolling business plan. This isn't common in our sector. Most companies can only talk in 1- to 3-year snapshots. But at Barrick, we give our shareholders a clear road map, a long-term view of how we intend to deliver production, profitability and growth. The visibility gives us confidence because it allows us to plan, prioritize and manage our portfolio in a disciplined way. We've also shown that over time our ability to replace the gold and copper, we mine while finding more, keeps changing that forward profile for the better. We are driven by a strategy that invests in the future. And as you can see here, there's significant organic growth built into the portfolio through to the end of the decade. And as we've shown in our 10-year plan more beyond that. Look at what we already have, Nevada Gold Mines, Pueblo Viejo, the Tier 1 assets in Africa, all with tangible brownfields upside. Add to that, Fourmile, the Lumwana expansion and the Reko Diq growth project, plus the new project pipeline our exploration team is pursuing. And you begin to see just how much potential is still ahead of us. This is a high-quality portfolio built by a high-quality team, operating in some of the world's most prospective regions. So Barrick is as it stands, a standout performer in our industry. It isn't just the quality of our assets or the strength of our pipeline. It's the way we build this company on a strategy grounded and long-life Tier 1 assets, supported by a growing copper portfolio, exceptional growth assets that don't require new debt or share dilution, a disciplined balance sheet, continuous reserve replacement and a global exploration engine that's active in every major mineral belt. It's also about our people. We've invested in our leaders, our teams and our culture. And that's why we are able to operate in the world's most prospective, but sometimes more challenging jurisdictions. And do so successfully, I might add, and sustainably. We're delivering returns today whilst also building this business for the long term. And we're focused on delivering value for all our stakeholders, not just in ounces or earnings, but in jobs, in partnerships and an opportunity. And importantly, we've done all this without issuing new equity. On the contrary, we continue to buy back our shares while investing in growth and strengthening their balance sheet. That's the Barrick difference. And that's why we believe the best is yet to come. Thank you all for listening, and we'll be happy to take questions. And I think, [ Claudia, ] we're going to take from here first. Okay.
Ralph Profiti: This is Ralph Profiti from Stifel. First one, you've talked about one of the rationales for the sale of Donlin being competing for capital against Fourmile. I'm wondering if there's a read-through on the valuation and how it pertains to Fourmile because there is a valuation and a market valuation anchor to how you're going to bring Fourmile into Nevada Gold Mines. And I'm wondering if there's a correlation between the two on valuation.
Se-Wook Yoon: No, I think there's no correlation between the two. I think Donlin is way out of the mining. And when you look at our development plans, it was way back -- at the back end of the -- of our development planning. And so it makes sense to realize that asset and focus on the assets that meet our Tier 1 definitions. And that's really the driver. And we saw the value of Donlin in the market is well set by NovaGold at the stage of the deal, the NovaGold market cap. So that was as close as we could get to a market-related value, and we were comfortable with it. And clearly so as NovaGold.
Ralph Profiti: Understood. And then you did a presentation slide on Kibali and having some of the more new geology point you to more complex geological structure. And I'm just wondering how has -- how are you now thinking about perhaps changes to the processing side in order to bring that long-term potential into the fold?
Se-Wook Yoon: Yes, Kibali has got a really good flow sheet. It's got first of all, the normal standard gold crushing, milling, but then it's got flotation and it's got ultrafine grind. So short of any roasters or autoclaves, which we don't need in that mine. It's got everything. So we don't see any change in the metallurgy of the new deposits. What's interesting is the ARK. So KCD is the first major ore body that we started in open pit, and it's now being mined down dip. It's a plunging series of cigar-shaped ore bodies. And it's -- the reason they're in cigar is because it's tightly folded, so the mineralization picks out the hinges in the folds. And ARK is starting to look exactly like that, just subparallel. So no difference. It's associated with banded iron formations that are tightly folded, but the system is -- and we're starting to see significant continuity and some particularly high grades because that 3,000 lode, 5,000 lode of KCD is what made Kibali. So it's a completely new target, but right next door. So -- and the question is, is it part of the same tectonic or structural event as well as the mineralization event or is it separate? We think it's the former. And -- but it's very different to the other satellite deposits that we've mined in Kibali. And we've still got more, and that's further away from the processing plant and the main mine. So it's not complicated -- it's complicated geologically. And Kibali has always been a challenging geological setting, but we've continued, as you know, to -- we've got double the reserves that we defined in the first feasibility study still, and we've mined for a long time already.
Brian MacArthur: Brian MacArthur, Raymond James. One of the things you highlighted in the report was how you're getting value added tailings with sulphur to be used in Nevada? And obviously, there's a huge benefit from sustainability. But can you just talk about the economics and how that helps the roasters in Nevada? And just how much it might actually be worth if you're willing to put a number on that?
Se-Wook Yoon: So the value is significant. Just to -- we've got two projects like this, it's Golden Sunlight, which is a closure site in Montana. And that's been -- we're busy ramping that up. It's had a few challenges and getting it fully ramped up, but it's a rehabilitation project essentially taking away the requirement for continuous water treatment and at the same time, delivering a very valuable product in the form of sulphide concentrate, which is a fuel in both our -- for our autoclaves and our roasters. So with that knowledge, the team in Nevada out of Phoenix, looked at our tailings again, full of sulphide and we -- and did the feasibility study, and we built a concentrator in Phoenix. And that's going to produce more than Golden Sunlight, not enough to cover all the requirements, but still very significant and prill sulphur is very expensive. So again, we get rid of an environmental challenge, and we deliver low-cost fuel for roasters and autoclaves. I mean, Henri, have you got a view of the benefit, maybe a cost of the prill relative to your production cost or something?
Henri Gonin: The cost of the prill is variable, but right now we pay about $300 a ton for a ton of sulphur, and we're producing the sulphur concentrate at Phoenix for under -- delivered to the roasters for under $70 a ton.
Se-Wook Yoon: So there's the numbers.
Brian MacArthur: Sorry, can I just follow up and ask our -- begs the question, are there other tailings around at other sites in Nevada that you can do this with to add value over time. I get a Phoenix at a different stage than some of the others, but I was just curious.
Se-Wook Yoon: No, I think there's -- I mean, one of the things, just to twist your question a little bit further is what we are looking at is Nevada is multiple different ore bodies and big tailings facilities. And so what we are doing is the geology had a project of looking at what other metals are in those tailings, particularly rare earths and some of the more critical minor elements that don't -- you don't find geologically on their own. So that is something. And certainly, we're very comfortable in being able to reprocess our tailings dams. If you remember, Morila, we mined that super high orebody. At the end of the mine, we re-mined the tailings dam and continue to make money all the way until we had no more anything left in the tailings dam. So we've done that before, and we constantly look at opportunities to realize that. Our big challenge in the mining industry at large is we need to worry more about how we deposit our tailings and in what form because historically, the mining industry created large liabilities because of continuous water treatment requirements. And the same goes for copper facilities as well. So we are very aware of that. And our closure team is very focused on where we can exploit those hidden gems inside the tailings dam, we will take them out.
Operator: [Operator Instructions] Our first question is from Josh Wolfson with RBC Capital Markets.
Joshua Wolfson: There's a lot of interesting headlines creating some conversations today. And I just want to sort of clarify what the company's views are on some items. The first question I had was, I think, Mark, you made some comments about gold-related M&A here at the top of the cycle being a risk. I just wanted to sort of maybe pivot on the other side. On the copper side for M&A, would you see there be any cyclical advantage to looking at opportunities today given where gold prices are relative to copper?
Se-Wook Yoon: Yes, Josh, that's a very good question. So the challenge we have in copper, the opportunity that's driving very much like 2011 is this perception that the gold price is just going to keep going up. I think from my point of view, there's definitely a base developing in the gold industry because one, there's a demand. You can't see any short-term fixes in the global economy. So there's a lot of reason and de-dollarization has become a reality. At the same time, we have just recently started to see a higher volatility in the gold price. And that's -- you would expect that for a while. And whether it stabilizes and sets a new base there or it builds a foundation and continues to grow. That's the gazillion dollar question. But I think the drivers in the market are very much entrenched and superficially the sort of political -- the geopolitical dynamics across the globe are accentuating that. But there's a fundamental concern around indebtedness across the entire global economy. On the copper side, it's slightly different in that -- and so -- sorry, just to finish on gold. So rising gold prices make ore bodies look more profitable or viable. At the same time, people forget about costs and cost inflation and ultimately running out of reserves. And that's where our industry is -- today is that we've got very little inventory left ahead of us. We are constantly buying assets that just 1.5 years ago weren't viable and paying a premium for them. On the copper side, the challenge in copper has been that the inventory sitting in particularly the large copper miners as well as the diversified miners are of such a nature that they're not viable, certainly haven't been viable at the $4.20, $4.50 a pound copper price. And so you've got this inventory, but you've got no investments in capital. And in fact, what you've seen is the copper industry investing in brownfield's extensions, accepting higher operating costs because they can bring that copper production quickly and at lower capital or what people talk about today is lower capital intensity, in other words, thousands of dollars per producing ton or produced ton. The challenge is that, again, we haven't been exploring. And so the supply side of that inventory is not forthcoming. And so you need a higher copper price to really unlock it. And you need a copper price that goes high enough for the industry to be comfortable. It will stay there because building a copper mine takes time. That's what makes Lumwana and Reko Diq such a standout set of assets because it makes real capital requirements to do so. And Lumwana particularly has got a cash flow adjacent to the extra -- the second stream that we're building. What's interesting unlike gold is that recently, despite the global economic outlook, which is very fuzzy at the moment, the gold price -- I mean, the copper price has shown some strength. That's interesting because we've all -- recognized all of us, particularly you analysts have recognized that there's a tightening coming in the supply side. And so to see this move in copper against a softening unsure global economy is very interesting for us. And when we made the decision and took out our capital plans to our Board, and shared it with our colleagues in Pakistan, we pointed to the fact that this is the best time to build copper mines, if they are viable at the sort of lower copper prices because you bring the production in at a time when demand picks up. And Josh, you -- this is probably a little bit before your time, but that's how we built Randgold as we took that big bet when gold was $260 an ounce, and we really focused on every viable asset at that sort of gold price or above, we actually used $450. And we were able to build three new mines and capture that big spike in 2011. And we took debt on, which is what we're doing now. And we're able to pay it back on the spike. When everyone else was running around doing M&A, we were paying our debt back. And it's pretty much what we've been doing in the last couple of years is really keeping a close eye on our balance sheet and looking at ways to actually leverage our per share value through investments, cash investments rather than premium equity deals. So that's -- that would be my answer to that question.
Joshua Wolfson: Got it. The other sort of bigger headline today, I'm never sure if journalists and perhaps analysts in some situations are taking liberty. But there was an article talking about a Board formalized process to find a successor. I understand you're committed to stay until 2028. And I guess I just want to understand why would the Board be preparing for this 3 or 4 years in advance? And any sort of commentary on the succession planning?
Se-Wook Yoon: So the Board -- the succession process is always Board -- there's always Board oversight. So to your point, everyone is desperate for a story. We've -- as you know, Randgold was very big on succession. It was a process that we worked with the Board to manage. And again, big succession plans need real consideration. And we've been talking about -- you've been asking about this for a long time, and I've been talking about it for a long time. So if we -- and we've always -- I've always been very clear about succession and the importance of it. So it shouldn't be a surprise to anyone because all of you know me, know our philosophy, and we look at -- we reflect on risk and one of the risks is leadership, and we look at sort of an uncontrolled event and a normal managed transition. And that's why we were able to pick up a very challenging business in the form of Barrick from Randgold back in 2019 and be able to spread out and catch most of the issues immediately because we had that deeper succession plan already entrenched. And we have -- our succession works on a 12-month rolling program. It's deep into the organization. As an executive group, we have got to know the top 300 potential high flyers in our organization across all three regions. We have that conversation with the Board, and we have an executive development program as an integral part of that succession program. So the Board is involved. So -- and let me tell you something, Josh, 3 years is not a long time. Not in a business like Barrick.
Joshua Wolfson: Yes, if I can ask just one more question on the operations side. Are there any kind of insights you can provide in terms of how PV is performing post first quarter results and some of the action plans that were taken then?
Se-Wook Yoon: Yes. So as you know, the big step was -- there are a couple of things, but the very big step, the big downtime was the change out of the [ NOL of the settler. ] And that's a big project. At the same time, we upgraded the pressure cooling in the autoclaves, and we upgraded some of the big pumps. But it's really about the [ set land ] and been able to really pick up on the throughput. And it's -- when we expanded, we have a SAG-ball combination in the first phase and this -- the expansion we put in was just a really big single SAG mill. And we weren't clear about how we would -- whether we needed more settling capacity when we installed it. Very clearly, we did, so we had to retrofit it. It was an option. And so we've done that. And so, the throughput has now stepped up that graph that I've showed you, that's on track. It's not -- we haven't changed anything. April was a good month on throughput. We're -- it's a range as we settle down these throughput numbers, but we're definitely on average up there at the target for that bar. And we've -- we're already achieving in short runs the quarter 2 bar. So again, we're comfortable that, that installation is going to deliver what we planned, and that's what we're going to track and share with you as we go. And the big focus now this quarter is stabilize that throughput and with it, the recovery because we expect another 1% improvement in recovery by the time we get to the end of this quarter. And then we'll keep that recovery in quarter 3, and we'll have another step up and throughput. And then we'll -- we should see the next step in recovery again. And we -- you'll recall a couple of quarters ago, we took you through -- that recovery will continue to step up out for the next six quarters, but it's really the throughput that drives the production, the first step up in production, which is what we focused on now.
Operator: The next question is from Dan Major with UBS.
Daniel Major: Yes, first question, just on Mali. I see it consumed around $80 million of cash this quarter, like negative $64 million EBITDA and $14 million in the CapEx. As far as I'm aware, it has not been placed on care and maintenance while the negotiations continue. How long are you willing to keep in this status? And can you give us a reminder on what the care and maintenance cost would be if you move to a full care and maintenance scenario?
Se-Wook Yoon: So at the moment, we haven't moved to a full care and maintenance scenario. We don't intend to. I mean it'd have to be forced to do that. I think that -- and right now, we have been -- these are two independent companies located in Mali. So we've been utilizing their facilities -- in-country facilities to support their continued work, and they are -- in a mine like this, things -- as we go into like the rainy season now, we're going to have to manage that, and we want to keep all the infrastructure operating and the underground mines properly dewatered. So that's what we've been doing at this stage. And Graham, I don't know if you want to comment on the holding costs if we actually closed and go into care and maintenance.
Graham Shuttleworth: Yes. So the current sort of run rate, Dan is around $15 million a month. But as Mark points to, we still have all of our staff on the payroll. We have relocated some of our expatriate staff elsewhere. And if we were to go to a, let's call it, a full care and maintenance scenario where we were literally just doing skeleton maintenance, you could expect to half that number.
Daniel Major: Okay, so less than $10 million a month. Okay. That's clear. And then, yes, next question, just on the portfolio. And I think -- and there are some positive moves in looking to divest some of the non-core assets, Donlin, and I see the press commentary around Hemlo. Any other comments you can make on Zaldivar. I know that's one that you've highlighted before? Is this process of considering the noncore assets sharpened the focus on that asset?
Se-Wook Yoon: So Zaldivar, we got -- we're busy with the renewal of the mining license, and we're making good progress on that, and that's really the most important focus for that team, both on the Antofagasta side and our people who are involved in that process. So that's our focus at the moment for Zaldivar. I mean really, Tongon is one, Hemlo. As you know, on Hemlo, in 2019, it was already for sale. And we -- what we did is we stepped -- pulled it back because it really didn't have a plan. And today, what we've done is we had 3 years of investment into the mine. The last 2 years, we've had a step-up in cash flow from the operation. We've completed the first run at the open pit expansion. We've got more work to do. We're drilling at the moment in the underground to be able to work to match the underground reserves with the open pit production profile. And that will take the -- it's already got a life-of-mine that's 10 years. It's got prospectivity. We are -- we have built additional footprint in the operation and prospectivity. It's a low production mine relative to our Tier 1 sort of hurdle. But it's a good operation. It's always had prospectivity. It's one of those assets that if you work hard at it, it continues to deliver, and we think it will continue for a while. But it's at a stage where it makes -- we can defend its viability and it will be an attractive asset for a midsized mining company. So -- and that's the basis on -- but it's not -- it really is not for Barrick. And again, you ought to recall that in 2019, when we did the transaction, we -- immediately once we got everything visible, is we cleaned up the portfolio, sold KCGM, sold Lagunas Norte, sold Massawa in West Africa, and we tied up and distributed that capital gain, which everyone always forgets, but it was a real return to shareholders. And now that we've got real growth, we're looking at a 30% gold equivalent growth out to the end of the decade. What happens is -- and when you clip off the noncore very quickly, you see how you steepen up that growth curve. You certainly take -- allow management to focus on the quality assets. It hasn't got fundamental. It's not a drain on the overall value of the company. In fact, it enhances the value. And so it's a good time to do that. And I've always spoken on that basis that we -- noncore assets are well defined in Barrick as our Tier 1 assets, and we're excited about the next phase in Barrick because it really does bring real growth. And again, not too dissimilar to the Randgold situation, which I referred to in the 2009 to 2013 when we built out Loulo, Tongon and Kibali together, we ran up quite a lot of debt and then we really delivered that production into a rising gold price. And we funded it all with debt and internal proceeds. We didn't issue any equity in the construction. We issued a bit of equity if you'll recall, in the acquisition of Moto. And -- but it really added real value per share to the portfolio. And we've started today to give you that look, so the precursor to delivering value per shares to actually have the reserves per share starting to trend in the right direction. And so you can track that performance going forward.
Daniel Major: Great. And maybe I could just put one more in there on the portfolio and perhaps a bigger picture question. But I mean, when I look at asset values across the sector, there's been a widening gap between higher jurisdictional risk and lower jurisdictional risk regions. And you've previously shown the kind of discounted multiple of, for example, the Nevada assets within the Barrick portfolio. I mean internally, is there any discussion about separating the higher and lower jurisdictional risk assets to realize what appears to be a trend amongst investors of willing to pay more for low-risk assets? Is that an internal discussion at all?
Se-Wook Yoon: Let me -- definitely not. So let me just correct you. That's your -- this is the echo chamber that's developed in the market. But what's driving the valuation in the so-called lower jurisdictions is harvesting. If you look at the assets that have really delivered big growth in equity is short-term delivery of strong cash flows and no one in the analyst fraternity looks at life of mine. You just look at the next quarter or the next year, and there's a lot of harvesting, a lot of dividend flow, and that's what the fund managers have been paying for. And again, if you look through back over the last 2 decades, the real value comes with long-term delivery. And I mean already when you look at Barrick's yield, it's at the top end of yield. And that's not because we're paying big dividends, it's because of the equity cost. So when you buy that equity, if you have a long-term view, you get real returns and you can look at the long-term life-of-mine and the -- if you do a simple cash flow model, you get a steepening free cash flow very quickly. And we're replacing all the time. So again, when you're not replacing reserves, your sustaining capital comes off very quickly, and it looks good. But then you come -- and most of us in this -- I mean, some of you have been around less than I have. But most of us have been long enough to have experienced what happens when you come off on the production because you haven't got any alternate. And you can buy for so long, but that also runs out. And so I would argue very differently, it's landing as safe jurisdictions, but it's actually harvesting M&A transactions. And I would -- and again -- and it's worth understanding that if you don't know, I'm a big shareholder. And I support this longer-term strategy because ultimately, that's what makes real money as an investor, and certainly, our big value investors understand the same story. So -- and again, it makes no sense when you look at -- it was the African assets that really allowed us to fix all the neglect in Nevada, and deliver Nevada as we see it today. And it's worth looking at the profile of Nevada when we put the two assets together, just the simple profile. You'll recall, we showed you that. And then look at the life of mine profile today. And that comes because of the broad global spread of assets. And you'll recall that we've been through some challenging times in Nevada on jurisdiction as well and royalties and things that are no different to some of the challenges we have elsewhere in the world. So I've always said a world-class -- if you want to be world class, you need to be global. And by the way, you've seen this. You've seen just in the short history, you've seen Rio go into Mongolia.  You've seen Rio go into Guinea -- yes, actively into Guinea after a coup. You've seen Newmont buy into Papua New Guinea, both [ growing ] concerns and development projects. And you've seen everyone focusing in on Central African Republic because that's where the big copper and other critical minerals set. So I think we get hung up sometimes on or confused about short-term harvesting and jurisdiction.
Operator: Next question is from Lawson Winder with Bank of America Securities.
Lawson Winder: Mark. Okay. So just maybe a couple of questions, and maybe I'll put the two asset ones upfront just to maybe be mindful of time, but you talk about long-term value and investments you've made in Nevada, and I think they're very commendable. One asset that really hasn't been emphasized to a large degree, particularly on the copper side is Phoenix, and there's a pretty significant copper portfolio or copper byproduct there. And when you think about that asset, is there some upside that the market is not thinking about with Phoenix? And in particular, with the U.S. taking a look at some of the -- or strategic assets that have copper, things like the FAST-41 list so that would be one. And then second would just be on the Goldstrike roaster, how many days were actually lost to the planned maintenance at the Goldstrike roaster in Q1? And yes, just are there any other major planned roaster or autoclave maintenance this year in 2025?
Se-Wook Yoon: Yes. Okay. So Phoenix, just to answer that, it's now very much our focus, is understanding the full potential of Phoenix because remember, Phoenix has always been run as a gold mine taking the copper credits. But there's definitely potential at Phoenix, porphyry potential. There's -- we have defined targets within Phoenix that we're currently evaluating. It's relatively early days. But Phoenix is a different business today than it was back in 2019. And in the fullness of time, ultimately, it is a real resource. We haven't really pushed the envelope on conversion yet because we're really understanding the geology, but to your point, it's good observation, Lawson. On the shutdown, I will give you a broad -- give -- Henri is in the audience here, and he can help with the detail. But really, there were two big shuts back-to-back, the Goldstrike roaster and then followed end of April with the gold quarry roaster and that sets us up. So we are guiding an improved production in Carlin and Nevada generally in quarter 2 and again, a better second half than the first half of the year. And it's because of our focus on getting those maintenance schedules behind us. And Henri, if you don't mind adding the sort of timing.
Henri Gonin: Yes, so the Goldstrike roaster was planned down for 21 days, and it was up after 20. And Goldstrike -- I'm sorry, Gold Quarry roaster went down for 28 days as planned in April. And then for the autoclaves, the Sage autoclave at TR, we take each autoclave stream down individually. So the plant stays running at 50% capacity, but the whole plant did go down for 7 days as planned while the first phase or the first autoclave was down and the next one will go down in September for a planned maintenance job. And Lawson, I would just add to that. We were talking about it yesterday actually, is -- the level of planned maintenance has really shifted to Henri's point about bringing down autoclaves just to check the brick competence. And it's for the first time, we are actually shifting the majority of downtime and planned maintenance. So the autoclaves were taking down just to ensure that the integrity of the bricks are in good shape and bringing them up again so that we don't wait until it busts. And so we're in a much better place as far as planned maintenance goes. That's why we are a lot more comfortable be able to manage our guidance.
Lawson Winder: Yes. Great for that. Can I also ask you about the intended use of proceeds for the Donlin cash that you'll be receiving hopefully shortly?
Se-Wook Yoon: Yes. So our use -- our capital allocation is very clear. And again, if you followed me through my career, we stick to our plans. So we've got -- we'd like to keep the balance sheet very healthy because we're going into this capital phase and the world is in a very sort of dynamic period to say the least. And so the way we manage it is that if we -- we've got ability to allocate and bring down the debt a bit. When we get between 0 net debt and $500 million positive cash. We pay a special dividend. And the way to manage that also is share buybacks and we are mindful, as you've seen us doing a very considered share buyback strategy as we -- and as we lean into rationalizing some of our productive assets, it's good to use some of the Donlin cash to buy back the stock. And the best investment we can do right now, it's accretive on every metric, is buy our stock. So that makes sense. At the same time, we recognize the importance of rewarding our shareholders with some additional dividend. And so that's the sort of -- that's the way Graham and I are thinking about it. It's the way the Board has guided us in managing this balance sheet, and we'll continue to do it that way.
Lawson Winder: And then just when you think about redomiciling -- potentially redomiciling to the U.S., there is the cost of losing the net operating loss tax benefit. What are the benefits you're seeing that would justify considering such a move?
Se-Wook Yoon: So the point is -- I guess I'd underline your point about considering. Consideration to this has been an ongoing affair going back to even Peter Munk's days, you remember they used to call Barrick, American Barrick. So I think let's not get ahead of ourselves at this stage. Right now, the -- I think the structure is well structured. One of the issues is that the U.S. assets are not efficiently held in the corporate structure, and it can be done better. And -- but again, on the accumulated losses and we've got both operation -- operating and capital losses. Those are always available. We're not planning to sort of do away with them at all. We're always looking at ways to use them if we can. And so they will be considered in the overall ongoing debate, and that's really where we are at this stage. I think one particular Canadian paper got ahead of themselves on rushing out a story. But it's been, as I said to that paper, we -- it's something we consider all the time. It's a regular debate in our Board, at least on an annual basis, and we'll continue to look at opportunities. And it needs a logic to drive it, and that's the big challenge.
Operator: Next question is from Tanya Jakusconek from Scotiabank.
Tanya Jakusconek: Mark, can I start back on the noncore assets now that Hemlo is on the block? And I look through your portfolio, I think on the previous conference call, you had mentioned both Zaldivar and Tongon as being noncore. Where does Pascua-Lama, Norte Abierto sit within that portfolio for you?
Se-Wook Yoon: So Tongon, as you know, is far down the road on the process of realization. So we've started that process a while back. It's in the process. And Hemlo is just starting. Pascua is, right now, we've just applied for drilling permits to evaluate the preliminary economic assessment we referred to a while back on Pascua. It's an integral part of Lama, as you know, and always has been. And more importantly, we've sort of stepped back and looked at it with brought -- zoomed out and brought Veladero into that sort of picture. And so it's got a bit of work to do before we get to the stage that this makes sense to define it as a noncore asset. And we're currently drilling targets adjacent to Veladero because Veladero, we've really transitioned to a good place at the moment. And as I say, we just made the first -- we've completed the community consultation and we've just lodged the initial notice on applying for drilling permits in -- within Pascua-Lama. We call it El Alto now Tanya, yes.
Tanya Jakusconek: Okay. Not southwest and other down there? Are those potential...
Se-Wook Yoon: Sorry.
Tanya Jakusconek: The rest of some of the other assets that you have in South America.
Se-Wook Yoon: We've realized most of El Indio, we've done -- we are -- Alturas is in a process at the moment. I think it's Alturas, the Chile one. So Norte Abierto is currently, we're busy with new Montana pre-feasibility study. We're doing a study on it. It's ongoing, we'll wait for the results of that study.
Tanya Jakusconek: Okay. And then if I could come back, my second question is, Mark, on the succession planning. And again, from the article in the Financial Times, they made it sound that it's a more formal process now. I guess the way you answered it, it's just a normal Board process through the Governance Committee that you review succession planning quarterly or yearly. Is that a fair statement?
Se-Wook Yoon: Yes. I think the -- I mean, remember, we went through this process and Randgold Resources. And how you -- I mean, Tanya, I spoke to the reporter that you're referring to. So you should take my word for it rather than the reporter's.
Tanya Jakusconek: Yes. No, no, that's what I was just trying to understand. It's just that...
Se-Wook Yoon: We've always spoken about it. It makes sense to develop people skills. We've got a very structured succession plan. And as we get closer to the end of the decade or the completion of Reko Diq or both, you will see a more formal process emerge. It makes sense.
Tanya Jakusconek: Okay. And then my last question, if I could, was just on Mali, Maybe, Mark, just what are the next steps? Where are we? I know negotiations continue, but maybe some visibility on are there any time line -- not time line, but any next steps that we should be looking at? Or what are your next steps...
Se-Wook Yoon: So I think the -- we've reached agreement 3 times with the Malians only for them to walk back the agreement. So -- and we're very clear about -- we've got a process that has commenced within the exit arbitration provisions. And that just to be clear, is based and founded on the agreement that we have in what is the appropriate dispute resolution mechanism, and we've agreed it, and we've used it before, there's precedence for it, and we would like to believe that, that's the focus. And right now, I can confirm that Mali is participating in that process. But at the same time, as we've always done through the last couple of decades is it's better to -- and I have this conversation with a member of the Junta just over a year ago, and he agreed that it's always better to have a negotiated settlement than badly run legal fight. And so I'd like to believe that we -- what I can tell you is we're still very much engaged. And we're -- as we've always done, -- and Tanya, it's the same situation, remember, we found ourselves in after the transaction in 2019 that Tanzania was closed. Pakistan was nationalized. Papua New Guinea hadn't had its permit renewed. It was a couple of real challenging situations, which we diligently worked our way through and delivered significant results out of that and a new partnership. And it is more challenging in Mali because you're dealing with a forced change and one of the big challenges is the lack of professional advice on the Mali side, which would help a lot if we could sit around the table and really unpack the numbers. And the thing that really -- so I guess my attention and -- is the fact that we've got the unnecessary retention of our executive -- 4 of our executive teams, which is completely unacceptable. And so we're very mindful that we need to work on this diligently and that we need to find a lasting solution with the -- with proper due process and the protection of our rights, and that's what we're managing.
Tanya Jakusconek: And can you just remind me what -- the arbitration would be held? Is it in France, I guess?
Se-Wook Yoon: It's an exit process. Exactly where the actual arbitration committee will land is something that the process will define going forward. But it's a World Bank exit program.
Operator: The next question is from Josh Rales with RFI Associates.
Josh Rales: I have 2 questions. The first relates to your cost structure. I love your ownership orientation. I love the Barrick Academy. And I'm looking at how you train people and how you manage costs. And I was comparing Barrick's projected all-in sustaining costs for the year versus Agnico. And you're about $300 an ounce higher. And -- could you give a little bit of color on what the main factors are that you think drive those higher costs and whether it's a short-term thing that will converge over time or whether it's because you're all over the world and they're more concentrated in a jurisdiction. I'd love to get your thoughts about that to understand that.
Se-Wook Yoon: And the second?
Josh Rales: And the second one really relates to the excitement I feel for this -- for the industry and your company with -- when you look at the midpoint of your production and all-in sustaining cost guidance for '25, and if you take the run rate at the current gold price, it's about a $1,900 an ounce pretax margin. And I wanted to just kind of confirm that I'm thinking the right way and that kind of over a 12-month basis, if this is sustained, and we don't know if it will be, that's about a $6.3 billion pretax earnings run rate over 12 months. And you clarified how you would prioritize the use of the money. But I wanted to ask you on top of that, if there was another exciting project besides Fourmile that if you had this kind of excess money, whether you would view your priorities a little bit different and maybe do something more in Canada or somewhere else with the funds or just stick to the special dividend and the buyback?
Se-Wook Yoon: So Josh, I'll start with the second one. I'll take you back to 2011 to 2015, where people used to complain that Randgold was ex growth because all we were doing was growing cash flow. And it went on all the way to 2015 when Barrick was the most valued gold company on the planet. And so growth comes in many different facets and the most exciting one is when you've got long-term growth, sustainability and you grow your profits, you grow your cash flow. So I mean, if you look at -- if you take today's spot, which is difficult to do because remember, there's a cost in it. And these costs change in an environment like we're dealing with today, and it's still going to come through. But if you take today's revenue side, you're absolutely right. And in fact, if the cost profile that we've got today stays, we won't go into debt at all. And we will grow revenues. And of course, what we have shown is that we don't lurch from 1 M&A transaction to another, but we are consistently investing in our future, which eventually pays off. On the actual cost and Agnico Eagle, one thing that everyone misses, and I would strongly recommend you do is just plot the depreciation of the Canadian dollar and the Australian dollar versus the U.S. dollar because the U.S. dollar is the benchmark. And inflation -- headline inflation in U.S. dollars is real, and there's no depreciation of a currency. So -- and that is depending on the rate where you look to going backwards, but it's around 10%. And the Australian dollar is a bit more -- significantly larger than that. So then you look at our forecast cash flow -- I mean, sorry, all-in sustaining costs and total cash cost because we run our business on both out to the end of the year, we're well within that range when you adjust for depreciation when we're talking specifically Agnico. But at the same time, we're not harvesting a transaction. We're investing in our future. So fixing up some of the challenges in Nevada and the same with Porgera and the same with Tanzania and is -- we showed you at the Investor Day that we're running about $150 or even a little bit more on a per -- I mean, shove back to this position, on a per ounce basis above what our normal sustaining capital is. And so -- and we've shown how -- why, and we've -- particularly in Nevada, there was a significant neglect in planned maintenance. So we've had a catch-up on the planned maintenance, and we have a cost because we've rolled out the reserves and the life of mines organically rather than buying them. And that comes with a cost because we've scheduled an additional 110 million ounces in reserves, that's gold equivalent, so copper and gold life of mine schedules. And that comes with an additional cost on the cost side. It does come down as we've pointed to. And the way it comes down is how successful are we in replacing and rolling our plans forward because that dampens that decline in all-in sustaining costs. We do get some benefit of currencies, but most of our operations around the world are dollar-based. They're not -- because we don't operate in a big delivery or big ounces in Canada or definitely not in Australia. So it's not -- you can't compare apples with pears. And that's really the driver. I see Graham wants to add to that.
Graham Shuttleworth: Any other -- I think you've covered it well, Mark. The only other point I would make is, obviously, our forecast production is increasing over the next few years. And as that production goes up, we expect our costs to come down.
Josh Rales: So we'll -- well, this is enormously helpful. And thank you for just your great stewardship. The quality of these calls is amazing.
Se-Wook Yoon: Thank you for that, Josh. And as you know, we're always available if you call in to the team to help you get those models clear.
Operator: And the last question is from John Tumazos with John Tumazos Very Independent Research.
John Tumazos: Could you explain the organizational benefits as you simplify without Donlin and potentially Hemlo, Tongon, Zaldivar, maybe you save $2 million a month of exploration costs without Donlin, that you free up exploration personnel, admin resources maybe reclamation personnel down the road, divesting the older mines. Just tell us how it makes your life easier.
Se-Wook Yoon: So the -- John nice to hear your voice and as usual, you're the last but not least, in the line. One of the things I've always done is we don't increase our exploration budget with an increasing gold price or a decreasing gold price. We're very clear about we have 1 number, the -- between the mineral resource management or brownfields teams and the exploration teams, they have to compete for those dollars. And so what it does is keep us very focused on the quality of our portfolio. And over the last couple of years, 4 years, we've really tidied up our exploration team. As you've heard, the last -- the ramp of the El Indio and some of the other exploration projects that have been around for decades have now closed or dealt. And we've got a new portfolio of targets, much more focused. So what -- and Donlin has its own team. We managed the process or Christine and her team, along with the NOVAGOLD group. And what it does is it's -- I think Christine is looking forward to having more time to focus on North America and our portfolio of opportunities than be up there in Alaska. So that's a big release of executive time. And the same, Tongon, again, we will sell the asset with the team that runs the mine. As you know, we are diverse in our -- and flat in our structures, our mines have a full management team. So anyone buying it gets that team if they want it. We are planning to continue our exploration efforts in Ivory Coast. We've got some interesting new projects there on the other side of the country from Tongon. And we have some real focused work, generative work in Chile, which we'll continue to focus on. And we've got emerging projects, both in Peru. I've spoken about Argentina and some new ones in Ecuador. So we've got lots to keep us busy with. I think it's the management time, the executive time that these smaller assets that are high cost. And that's something I haven't touched on is these assets we're disposing of are all at the high-cost end of our portfolio. And so we'd be bringing the cost down without really changing the production profile much. I hope that helps.
Operator: There currently are no further questions in the conference call.
Se-Wook Yoon: Thank you. Can we wrap up? Thank you very much, everyone. Thank you, those on the line for taking the time. I know it's been a busy day with multiple presentations. And I appreciate those who have actually made the time to come in and visit. For those who are here, we've got some snacks, and you can catch up with the team next door. So feel free to stay on. Thank you again, and we'll be speaking to you -- most of you, I think, maybe in Barcelona next week. Cheers.
Operator: This concludes today's event. Should you have additional questions, please contact the Barrick Investor Relations team. You may disconnect your lines. Thank you for participating, and have a pleasant day.